Operator: Good day, ladies and gentlemen. And welcome to the Fourth Quarter 2013 Earnings Call. At this time, all lines have been placed on a listen-only mode, and the floor will be opened for questions and comments following the presentation. (Operator Instructions) At this time, it is my pleasure to turn the floor over to your host, Brian Harvey, Director of Investor Relations. Sir, the floor is yours.
Brian Harvey: Thank you, [Giban]. Good afternoon. And welcome to LRAD Corporation’s fiscal fourth quarter and fiscal year end 2013 financial results conference call. On the call with me this afternoon are Tom Brown, our Chairman, President and CEO; and Kathy McDermott, our Chief Financial Officer. Ms. McDermott will recap our fiscal fourth quarter and year end financial results, which will be followed by a brief presentation from Mr. Brown. After their presentations, we will open the call to questions. But before I turn the call over to them, I would like to take this opportunity to remind you that during the course of this call, management will make forward-looking statements. Other than statements as to historical facts, statements made during this call that are forward-looking statements are based on our current expectations. During this call, we may discuss the company’s plans, expectations, outlook, or forecast for future performance. These forward-looking statements are subject to risks and uncertainties, and actual results could differ materially from the views expressed today. For more information regarding potential risks and uncertainties, see the Risk Factors section of the company’s Form 10-K for the fiscal year ended September 30, 2013. LRAD Corporation disclaims any intent or obligation to update those forward-looking statements except as otherwise specifically stated. I will now turn the call over to Kathy for the fiscal fourth quarter and year end financial results recap. Kathy?
Kathy McDermott: Thanks, Brian, and thanks everyone for joining us today. Following the rather lackluster start to the year as a result of federal defense budget constraints and a sluggish global economic market, we finished the year strong with $8.8 million in revenues in the fiscal fourth quarter, a 56% increase over the prior year fiscal fourth quarter and 51% of the total year’s revenues. In addition to the $2 million Navy order announced in late fiscal Q3, a number of additional large orders were received for the public safety market, as well as other markets such as wildlife control, tsunami warning and oil and gas security. Revenues for the quarter ended September 30, 2013 were $8.8 million, compared to revenue of $5.6 million for the quarter ended September 30, 2012. Year-to-date revenues were $17.1 million, a 16% increase over $14.8 million in fiscal 2012. Our revenues will continue to fluctuate on a quarter-to-quarter basis based on the nature of our business and customer base and the timing of deliveries. Gross profit for the quarter ended September 30, 2013 was $4.5 million or 51% of net revenues, compared to $2.8 million or 51% of net revenues for the fourth quarter of the prior year. The increase in gross profit was primarily due to the increase revenues. Gross profit for the year ended September 30, 2013 was $8.2 million or 48% of net revenues, compared to $7.5 million or 51% of net revenues for the prior year. The increase in year-to-date gross profit was primarily due to the increase revenues partially offset by unfavorable product mix. Operating expenses for the fourth fiscal quarter increased $222,000 from $1.6 million to $1.8 million. The increases in spending included $450,000 for commission expense for our international sales rep, $65,000 for increase staffing, $58,000 for patent impairment, $48,000 for marketing and tradeshows and other increases, offset by $440,000 of favorable legal and other professional fees as a result of chewing up final costs and reimbursements related to the derivative lawsuit. Yeah-to-date operating expenses increased $1.1 million from $6.2 million to $7.3 million, increases in spending, included $347,000 of commission expense, $332,000 related to legal and other professional fees related to the derivative lawsuits and threatened proxy contest, $156,000 for staffing and consultants primarily to business development, $74,000 for product development and taxing, $66,000 for non-cash share-based compensation expense, $64,000 for marketing and tradeshows and other increases. In the fourth fiscal quarter we recognized one-time adjustment to other income of $271,000 related to a terminated license agreement. We reported net income of $2.9 million or $0.09 per diluted share in the fourth quarter compared to net income of $1.2 million or $0.04 per diluted share for the fourth quarter of 2012. For the year ended September 30, 2013 we reported net income of $1.3 million or $0.04 per diluted share compared to net income of $1.5 million or $0.04 per diluted share for the fiscal year ended September 30, 2012. On our balance sheet, our cash and cash equivalents balance as of September 30, 2013 was $15.8 million, an increase of $1.9 million from September 30, 2012. The cash was generated primarily through net income adjusted by non-cash expenses, partially offset by an increase in inventory which was increased to support our current sales forecast. Working capital at September 30, 2013 was $23.7 million, compared to $21.3 million at September 30, 2012. And with that, I’ll turn it back over to Brian.
Brian Harvey: Thank you, Kathy. And now I will turn the call over to Tom for a brief management presentation. Tom?
Tom Brown: Okay. Thank you, Brian. Welcome to our fiscal year end call. As I mentioned on our last call we were hoping to end the year on a positive note, we were able to achieve that. As Kathy stated fourth quarter revenue was $8.8 million, which is the second highest quarterly total in the company’s history. As a result, we achieved fourth quarter net income of $2.9 million which totally offset the previous nine month loss and gave us the full year profit of $1.3 million, a fourth consecutive year of profitability. We also generated approximately $2 million of positive cash flow. Some of the highlights for the year, as I mentioned we achieved our fourth consecutive year of profitability. In spite of very difficult market conditions, our U.S. government and military business was down by 34% year-over-year but as I said at the beginning of the year, we’re going to focus on increasing our international business and we generated 84% increase in those markets. Revenue from China increased from $270,000 in 2012 to more than $1.3 million in 2013. And revenue from our mass notification products totaled more than $882,000, a very good result for our newly launched product line. During the year, we restructured our sales team and bought in four new hires. We head into 2014 with a much stronger qualified team. Two of the new hires are completely focused on the further -- on further developing our mass notification business and each has a strong background in this area. In addition, we were rewarded a $12.2 million IDIQ contract with the U.S. Navy, which we’re working on for well over a year and a half. As we begin 2014, we are continuing to expand our LRAD business in the Middle East, Asia and South America and we continue to see strong growth potential in these markets. We also focused on and better positioned with new consulting support to continue to pursue large U.S. military and government contracts. But we’re hopeful that we will be successful in this area to continue a lack of a budget, sequestration and DC gridlocks keep pushing these opportunities out. We continue to work to be in position when the gridlock breaks. 2014, we will also continue to develop our mass notification product -- product lineup and we will aggressively pursue new business opportunities in this space. We feel that the mass notification market offer as much larger growth potential than the acoustic hailing device market. While we are the world’s leading acoustic hailing device company and will continue to retain this position, our experience and expertise in this industry positions us well to capitalize in the larger global mass notification market and we’re focused on making this happen. Our first quarter has historically been lumpy and usually not financially stronger. However we are off to a reasonably good start. And we feel confident that the quarter results would get 2014 off to a positive start. With that Brian, let’s go to Q&A.
Brian Harvey: Okay. Thank you, Tom. We’ll now open the conference call to questions for management. We encourage callers with questions to queue up with the operator as soon as possible so there will be minimal lag time between each caller. Operator, please instruct callers on how to queue up their questions.
Operator: (Operator Instructions)
Brian Harvey: [Giban], I actually -- we also received questions via email and so I’ll just load up that first one. The first question was could we provide an update on the status of the share repurchase program?
Tom Brown: Okay. Well, as we disclosed in the 10-K, we implemented a stock buyback program at our last board meeting. And today we have made no purchases against that program. The program will continue through the end of the calendar year and at that time, we will evaluate the continuation of the program with our Board.
Brian Harvey: Thanks operator. Are there any questions?
Operator: Yes, sir. Our first question comes from [Les Saluski].
Unidentified Analyst: Good evening gentlemen, how are you doing?
Tom Brown: Good. How are you, Les?
Brian Harvey: Good. How are you?
Unidentified Analyst: Congratulations on the strong quarter, very nice to see that.
Tom Brown: Thank you.
Unidentified Analyst: First question I have for you was going, looking back on the third quarter of previous quarter and looking at this quarter, how much of the revenue came from delayed orders and how much of it was organic?
Tom Brown: Delayed orders, we always have delayed orders. We’re working on an order right now in this quarter that we thought was going to come in at the beginning of the year. So part of our business is unfortunately though very, very long difficult selling cycle and the late orders are part of the deal. But in terms of the full year, the orders with exception of some business at China, all of the orders were generated in the current year. We do have some business in China that will continue from LRAD to being placed on maritime security boats and they will continue into the next year. And we do run into some of those longer-term opportunities but most of the orders once they come in the door, they get shipped pretty quick.
Unidentified Analyst: That’s helpful. And then can you give us an update on your progress in pursuing sales, sales efforts in the mass notification market?
Tom Brown: Well as I indicated, we just hired two new employees who came out of this industry and one is a very, very strong player. He has been a strong sales and marketing person in the states and we are growing our business in Asia because Asia is basically a replacement opportunity. We’re replacing existing speakers and we’re not required to put in any infrastructure. So mass notification space is much more complicated than just selling a speaker. There is all kind of infrastructure needs to be put in place and honestly, we’re at the early stages of that but we are pursuing it. The speaker business in Asia, we are doing extremely well and we just received an order today for Myanmar, Burma, small order, startup order but it offers some opportunity to grow in that area. We've got very good success in Japan and we’re starting to grow some mass notification business in China. So we feel very confident that we can get our speaker out as we develop more into a full-service turnkey solution.
Unidentified Analyst: Excellent. And perhaps looking out on next year, what growth rates would you be satisfied with, something similar to this year, what kind of range can we expect?
Tom Brown: It’s a difficult market. We are always targeting to grow at a double-digit pace and we fell down year and we came off of a significant year-end 2011. We fell down last year but picked it back up, strong fourth quarter. And as we head into the current year, we would like to see us continue to grow at a double-digit pace. It’s going to be difficult, but we are focused as an organization to try to do that.
Unidentified Analyst: And then, I am assuming operating margins were kind of slow with the volume as well.
Tom Brown: Yeah. We intend on trying to keep our operating margins in that 50% range. We've done it successfully for the last several years and we feel like we can continue to do that. The mass notification space has little tighter margins, but like I said with the bigger market opportunities, we can get our product cost in line to keep the margins in this area.
Unidentified Analyst: Great. And lastly, if you could also give a little more color and provide us an update on the RFI with the Army and your Kongsberg program as well?
Tom Brown: Those two programs, we are still very aggressively pursuing. As I indicated, we've picked up some new consulting support that has been very helpful and helping us find out where the programs stand and where they don't stand. We’ve had meetings with Kongsberg very recently and we are continuing to pursue both opportunities. But honestly with the way that the defense budget or lack thereof and sequestration, it’s made a very difficult to determine where these programs are. We know that they are there and they haven't gone away. But the timing has been frustrating for us for the last three years. But we are continuing to pursue them. We are not giving up because they are still out there.
Unidentified Analyst: So, I mean, there is nothing certain obviously, but in your foresight if you can kind of look into your crystal ball, you can expect something perhaps in 2014, 2015 or I mean, it is still just unknown at this part, too early to tell what do you take from that?
Tom Brown: Yeah. I would love to see something in 2014, but we may see something in 2014. But funding at the earliest will probably be 2015. But no -- as I said at the beginning of last year and I will say it again, we were focused on trying to build our international business because we feel there is big opportunities in that area and we will keep our growth going. And if these orders to materialize, that would just be an additional large revenue opportunity for the company.
Unidentified Analyst: Excellent. That will do it for me. Thank you.
Tom Brown: Thank you.
Operator: Thank you. Our next question comes from [Jared Cohen].
Unidentified Analyst: Yeah. Hi. One of the areas you mentioned it just before, but just see opportunity in the Maritime area. Could you talk about that, just seems like there is a lot of talk recently about privacy and so forth?
Tom Brown: Well, we continue to build our business in this space. As I indicated, we were awarded the $12.2 million IDIQ contract from the U.S. Navy and --
Unidentified Analyst: You’ve always had with the navy, but I was speaking more on the commercial side.
Tom Brown: We are going after the commercial space and that’s been a big part of that increase in our business in China this past year. And we are working on very large commercial opportunity in Asia right now, commercial maritimes. But we are still focused on trying to grow that business. We’ve just received some small -- we don't announce all of our small orders but we received the small order from one large cruise lines. So there is still emphasis and focus on this, but it’s still a very key part of our business. We did announce an order recently that was booked this past quarter, for units that were being put on work ports that are going off the coast of Nigeria for oil servicing metals. So we are still focused on trying to grow that business and it’s still a key part of us.
Unidentified Analyst: I know, but just purely on the commercial side, how bigger were -- I know, it’s fried up that big. But what percentage of your revenue say over the last three years, how’s it been?
Tom Brown: I would say probably less than 10%.
Unidentified Analyst: Well, that’s right. I figured in. And what would you say the opportunity -- I know it’s probably huge given all the commercial ships out there, the thousands of them?
Tom Brown: As I have said before, Jared, the opportunity -- there is a lot of ship out there. There are lots of ship owners don’t like to spend any money. And when we do present them with the product, there is a lot of resistance because they don’t like to spend much, much money for a security. And, now, as we see a lot of these vessels are starting to put armed guards on them and that’s a great opportunity for us, because if you put an armed guard on a vessel, you are going to need to have an LRAD or some type of communication device before you shoot, because if you are private armed guard and you are shooting someone out on the ocean, that doesn’t work so well. So we see -- as more of their armed guards get deployed, we see an opportunity to continue to expand our business in this space.
Unidentified Analyst: Okay. And I guess the last thing -- same thing with -- I know there won’t be anything new, but on the commercial airport side, particularly in the Far East I know there is a bigger opportunity there than you and the United States. We are working on an opportunity right now. It’s not going to be a significant, but it gives us another point where we can, another success story that we can point to and hopefully continue to grow our businessback. Jared, I think that that still has an awful lot of potential for us to grow but it’s a slow and coming and a lot of these airports are controlled by the government and funding is a big issue unfortunately, but we have made some progress in this area and we have a good product and it work. So we are continuing to pursue that area also.
Unidentified Analyst: Okay. Thank you very much.
Tom Brown: All right. Thank you.
Operator: Thank you. Our next question comes from [Lloyd Gordon].
Unidentified Analyst: Yeah. Hi. Hey, Tom. Congratulations to you and your whole team. Amazing quarter and thank you.
Tom Brown: Thanks, Lloyd. Thank you.
Unidentified Analyst: Yeah. You’re welcome. I have a few questions, so try to get them quickly. Recently I think this last week there were two shows in your area, one was a military show, one was another organization? Can you give us a little bit of idea of the reaction and how the shows went for us?
Tom Brown: Well, we were at the shows, Lloyd, and the feedback from the show is always very positive. We put out a press release that we are going to be teamed. One of the shows is going to be teamed with Wilbert. Wilbert is a, these guys make trailers and they make mass. And we are working with them. We have partnered up with them. Our product was on their trailer and placed on their mass and also we are looking at purchasing some of the mass from them to put on our own trailer. But the feedback from those shows was very positive we are up in port security show right now up in Long Beach that shows on today and we have attended the show before, we have gotten a little bit of business out of it. So we continue to go to these shows where we have business opportunities.
Unidentified Analyst: I guess, the products have gone through a big change and I am just curious as to whether the thing appreciated by the people that were attending the shows. I have seen it and there were wild products? Do you get any of that reaction from some of these people…
Tom Brown: Yeah.
Unidentified Analyst: Go ahead, I am sorry.
Tom Brown: Yes. We do when we get it out in front of them we get that reaction. When they look at it, they are trying to figure out what is that thing but once they…
Unidentified Analyst: Yeah.
Tom Brown: …view it, it’s a different story.
Unidentified Analyst: Okay. And I have a question, basically business momentum has been on a positive side now for little while and the -- you have talked about stock buyback program. Now it’s going to cost the company more, why haven’t any -- anything been executed?
Tom Brown: Well, the good news is, the Board of Directors sets the terms of the buyback and the good news is our stock price has been increasing and it was above the limits that we establish with the investment bank that’s doing the buyback for us. So we are looking at it. We feel like at this point in time we want to continue the buyback program, but we need to sit down with our Board and evaluate what that means as we go forward. As I said there was a buyback program runs through the end of the calendar year and we are going to evaluate it and my expectation is we will continue but we have to review that and get Board approval.
Unidentified Analyst: Okay.
Kathy McDermott: We have a 10b5 plan in placed also. So while we are in blackout which we have been which seems like forever -- for our year end we will come out next week, but while we were in blackout, you can’t change the terms of that plan either.
Unidentified Analyst: I understand. Thank you. Can you give us a little bit of Homeland Security, I noted we have done a little business with, I guess through the National Guard or Homeland Security? How that’s progressing and if we have been able to getting more states to purchase?
Tom Brown: We are working that area Lloyd that is a focus for 2014. We have made some good inroads with the National Guard. We have gotten some small, as I will say, small startup orders, but this is an area of focus, we’ll pursuing it, we’ve got an extremely good positive feedback from the Colorado National Guard, they use our product during the evacuation process with the floods they had in Colorado and they have become very strong supporters and that word of mouth spreads throughout the guard very quickly. So right now we are in a good spot to try to develop that business and we are working it. But like any federal government nothing happens as very quickly but we are positioned well and we hope to see some business this year that’s pretty significant from the guard.
Unidentified Analyst: That would be really good. On China, I know that, I heard that you are going to be going over there potentially or soon?
Tom Brown: Next month, Lloyd.
Unidentified Analyst: Right. Can you -- I see China as a tremendous area for growth obviously. Do you have -- can you give us any idea of expectations or I have seen the business has increased dramatically and you haven’t even, I don’t believe you have opened up the display yet or it’s just opening now?
Tom Brown: It was opened a little bit over a month ago. I am going over there for the grand opening. Yeah, we expect to continue to see some pretty significant growth in China. As we -- as I have indicated in the past, the partner that we have is pretty well-positioned with inside the Chinese government and we are expecting to be able to, it’s not going to happen overnight because it takes a while again to get inside of budgets, but we are pretty confident that we will see an increase over this past year’s revenue and continue to grow. They are making -- our partner is making some pretty significant investments in -- not just in our product but also in buildings and fixtures. So they have very, very nice set up in Beijing and that’s where the Chinese government is located.
Unidentified Analyst: And well, you increased about five times revenue over a year ago, you expect…
Tom Brown: We did.
Unidentified Analyst: Any -- you have any growth expectations numbers?
Tom Brown: Not five times but I would like to see it continue to grow.
Unidentified Analyst: All right. And just one more question on, could you give us a little bit on the oil industry and the platform business, I know that you I believe is a major oil company or two that you are involve with and what’s your expectations are there?
Tom Brown: We really -- we have sold the eight sales in the past into Conoco and into Chevron. Right now we are working with the country oil company in Africa and we are working on trying to get another order in from them this quarter. But that business, our RX product is perfect for that that type of a solution where they put it on the boat that is servicing the platform, so you put it on the platforms, to keep birds away, to keep pirates away. So we are pursuing that we have a couple of quotes out for some platforms of the coast of the Venezuela but we had those cooked up for a while so we are not so confident that we’re going to see that but we are still going after this space and we do have a couple of reps that are focused on this area.
Unidentified Analyst: One more question about Brazil, with all that’s going on there with the World Cup coming up and the Olympics, are we making any headway down there?
Tom Brown: We are and we have just recently filled some product into Brazil small but we are working to position ourselves, put product in place for the World Cup first. And for the Olympics, we did sell product into London for the London Olympics that went well. So we're looking to also capitalize on Brazil and also Russia. We’re looking at the Winter Olympics in Russia and they've got a lot of security issues. So we’re trying to work that area also.
Unidentified Analyst: Thank you so much. Fantastic quarter. I appreciate all you doing.
Tom Brown: All right. Thanks, Lloyd.
Operator: Thank you. Our next question comes from [Jonathan Manela].
Unidentified Analyst: Tom, how are you doing?
Tom Brown: Good, Jonathan how are you.
Unidentified Analyst: Good, I wanted to try to focus on some of my questions on things looking forward, happy to see you, you came in with a good quarter but I want to focus on looking forward. It seems like there were a few key players that really could add significant value from a strategic perspective that came onto the board. I haven’t heard you mention it once. I am wondering are you -- do you meet with these people? What’s the relationship like? What’s happening there? Can you give us little color on that?
Tom Brown: Well, I would characterize the relationship as very good. We had a Board meeting yesterday. We are here in town. We've added -- fortunately we picked up two members on the board who have a lot of background in this industry and they've been very helpful. As I indicated Jonathan, we have some new consulting support and actually, some of that consulting support was introduced to us by one of the Board members. So I would say the working relationship with the new Board is very positive. I have a meeting in Washington early -- early December with the Board members and we’re talking about strategy and how we can get some further support from them. So actually I would say you go through the process, it was not a pleasant process to go through but I think that the ending place is very good. And these Board members are very supportive and understand that it’s a lumpy, hard business and dealing with the government takes a long time. But they have -- they have the background to help us out and they've been looking, reaching out to help us and we’re reaching back and trying to work with them.
Unidentified Analyst: That’s good. I’m happy to hear that. So next question, I don’t want to put words in your mouth Tom. I didn't -- supportive of what I hear you say and how I receive what you're saying and then Tom’s hearing it and receiving in that way, others might be as well, is going into 2014, and looking at business for this year and next year you did $70 million revenue I kind a feel like if you came in next year at 19.5 and then the following year at 22 and the at 23, maybe it came back to 21 than went up to 24 then that would work for you, And I know from the seat that I'm sitting in I'd love to see the business grow from 17 to 25 to 40 to 75 to 100 and I don’t think its going to happen. I'm wondering what you think doing exactly what you doing today. And you’re sitting on a lot of cash. In four years, it doesn't seem that that cash has ever been spent in a strategic way to spur growth and I'm just wondering is that -- is there a strategy to drive some growth that’s either a little bit more visible or more meaningful but don’t let me put words in your mouth. I’m curious to hear your thought on the beginning part of that statement as well?
Tom Brown: Well, Jonathan, we have grown our cash pretty significantly but for the size of the organization, I wouldn’t say that were sitting on -- we’re not like Microsoft or Apple, sitting on bundles of the cash. We have reinvested our cash in internal R&D and we’ve reengineered the product line, probably two or three times over the last couple of years to try to stay ahead of the game and keep our business growing. We are making some significant internal investments in this mass notification space as I indicated. We see that as our biggest future potential because we have a product that's better than anything that’s out in the market today. We’re tiny. We’re growing up against some really big players that have been in this business for years but we feel we can beat them with our product lineup and of course, they going to catch on to us and try to improve their own position but they are large, slow, moving organizations. We think we can beat them to the punch. And we still have the bigger opportunities here. Unfortunately the U.S. Military has been we -- we’ve got to the work down of Iraq and Afghanistan and we’ve got our U.S. military that is maybe not so well supported by the administration maybe you’re supporting them but the military has stop being supported by them and that’s heard us. We expected to have very large business from the U.S. Army, couple of years ago and that heard us but we are still working. We’re still see the potential there. So that’s not going away. We’ve looked at acquisitions that are out there but we feel that by investing internally in this mass notifications space we have a bigger opportunity and less risk. So the future of the company, yes, I would like to see this grow too much larger extent. I’m not looking at growing into $40 million next week, but we’re trying to continue to grow this thing and get -- eventually get to a point where if you look at this structure of the organization, the bottom line will be very strong as we grow the top line. Look at this quarter, we did $8.8 million in revenue and we threw off $3 million of bottom line. So I would like to see that topline grow. We’re not sitting out here trying to keep the business down we are trying to grow this thing.
Unidentified Analyst: All right. Good. I’d like to hear this, I am happy to say that.
Tom Brown: What benefit would I have to try to keep the business at a $20 million level?
Unidentified Analyst: No benefit. Absolutely, none at all. But -- and anyways it sounds like there’s a lot of good things happening. I would like you to continue to see good things happening. Let me just bring up one other question here on this cash position and the stock and the purchase program. I know it's something that has been mentioned twice on the call already. I don’t know how many. It’s you and a few other guys, I've seen many Boards be able to get a quick conference call going and make a quick vote. You guys are pretty nimble. You should be able to make changes as needed for the benefit of shareholders. To say that, we set something months back when we talked and until we meet again, we can't really make changes, we’re kind of stuck in that situation. Anyone who knows better knows that that's just not true. So there has been opportunity over the course of the quarter to purchase stock. I think that goes a long way to show your level of confidence in the valuation of the business. The fact that it wasn’t done, I think does speak to some people. And I'm just wondering, is there a real desire here for you to consistently use some of the cash to buy stock, whether it’s a dollar? Let’s hope, we don’t get back to that level wherever you must have set it. I mean, I know the stock over the quarter was trading at some point in the $30 range. There was no stock Board. So, I don’t know how well you said this thing but that bar feels low.
Tom Brown: Yeah. At the time that we put the buyback program in place, the Board agreed to set out the market at that time. And then, we had some announcements and the stock prices gone up. So the problem is that there is restrictions, Jonathan, and we’re in a blackout period. We can’t do anything in the blackout period. We come out of the blackout period.
Unidentified Analyst: When did the blackout period start, when did it end?
Kathy McDermott: Mid-September, we went into blackout. It starts two weeks before the end of the quarter. And if we come out of blackout two days after we file, so we will be out next week. So we are at the long period that we’re restricted for making any changes.
Unidentified Analyst: So, when did the buyback program get initiated?
Kathy McDermott: We approved it in August and it took a couple of weeks to set it up and --
Unidentified Analyst: I got you.
Kathy McDermott: So the timing there was pretty limited.
Unidentified Analyst: I got you.
Kathy McDermott: So at the closure of blackout, we’ll have little more flexibility.
Tom Brown: Jonathan, we were serious when we entered into the buyback program -- buyback shares, so we’re serious. I expect us to continue to -- I have to get Board approval, but our recommendation as a management team is going to be, let’s expand this and let’s buyback some of the shares.
Unidentified Analyst: Right. If I could just give one man’s opinion here, if you commit to buying a fixed amount of shares every quarter, that’s going to go a tremendous way for the value of the stock and for shareholders. You have the cash do it. You just go to do it.
Tom Brown: Yeah, we’re not arguing. We did put it in place and we are looking at -- once we come out of this blackout period, we will speak to the Board. We’ve had some preliminary discussions but nothing final. And we’ll look at getting approval to move forward.
Unidentified Analyst: All right. Thanks Tom. Thanks for your time.
Tom Brown: Okay.
Operator: Thank you. Our next question comes from [Steve Allen].
Unidentified Analyst: Yes, Tom, I'm new to the LRAD and great quarter. Couple of questions, could you quantify the size of the mass notification market and who the competitors are?
Tom Brown: Well, Steve, there's a lot of different studies. Lot of people make money off the studies. There is a study that’s on our mass notification going through it. The current global market is size at about $2.4 billion and the expectation from this study and we see this -- I don’t know that it’s going to grow to the level that they indicate. But they are estimating over the next five-years that they should grow to about $6.4 billion globally. And with all these disasters that are occurring around the globe, there is more of a focus on putting in mass notification systems. And we have a system that’s going to be mobile also. And we feel that’s going to be something that will have some traction. But the big players, there is a lot of big players in this space. Federal Signal, Whelen, Siemens, there is some companies out there that have footprints and a lot of installations. However, most of the systems have been siren based and the communications coming out of those systems are -- I would say less than intelligible. And we bring something to the table that's all different. We have a highly intelligible speaker that has tremendous range. And as the small players, it’s going to be a rough climb, but we feel we have the opportunity to do it because we have a good product and product usually wins.
Unidentified Analyst: Do you look at the mass notification market as a shift from the legacy LRAD, or just a broadening of the market opportunities?
Tom Brown: A broadening, we don’t want to give up -- the LRAD businesses are still the core of our business and it will remain the core of our business for a while. I think that eventually, if we play this card right, eventually mass notification could exceed the LRAD business. But right now, we are the global leader in acoustic hailing devices and we’re going to retain that. We are not giving that up. And we have a team that’s dedicated to continuing to enhance that product lineup and continuing to sell that product. But we’re also bringing in some new players, some new engineers to focus on this mass notifications space.
Unidentified Analyst: Are the lead times, pretty much identical to the LRAD business, or they shorter or longer?
Tom Brown: I would say, probably comparable. They are all along. Unfortunately, all of our lead times are very long.
Unidentified Analyst: Okay. Well, thank you very much.
Tom Brown: All right. Thank you.
Operator: Thank you. Our next question comes from [Miles Weinstein].
Unidentified Analyst: Thank you. It’s been answered already. Appreciate it.
Tom Brown: Okay. Thank you.
Operator: Thank you. There are no further questions at this time.
Tom Brown: Okay, well. Go ahead, Brian.
Brian Harvey: Thank you everyone. Thank you for participating in the conference call. A replay of the webcast will be available at approximately two hours through the link that was issued on the press release and we look forward to speaking to you soon. Thank you.
Operator: Thank you. This does conclude today’s teleconference. We thank you for your participation. You may disconnect your lines at this time and have a great day.